Operator: Good morning and welcome to the CIBC Quarterly Financial Results Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Amy South, Senior Vice President, CFO and Head of Investor Relations. Please go ahead, Amy.
Amy South: Good morning, everyone and welcome to CIBC’s 2017 fourth quarter results conference call. My name is Amy South and I am the Senior Vice President of Investor Relations. This morning’s agenda will include opening remarks from Victor Dodig, CIBC’s President and Chief Executive Officer; Kevin Glass, our Chief Financial Officer, will follow with a financial review; and Laura Dottori-Attanasio, our Chief Risk Officer, will provide a risk management update. With us for the question-and-answer period following the formal remarks are CIBC’s business leaders, including Harry Culham, Jon Hountalas, Christina Kramer and Larry Richman as well as other senior officers. To give a chance for everyone to ask a question, please limit yourself to one question and then re-queue. Before we begin, let me remind you of the caution regarding forward-looking statements on Slide 1 of our investor presentation. Our comments may contain forward-looking statements which involve applying assumptions which have inherent risks and uncertainties. Actual results may differ materially. With that, let me now turn the meeting over to Victor.
Victor Dodig: Thank you, Amy. Good morning, everyone and thanks for joining us. This morning, we released our record fourth quarter results with adjusted earnings of $1.2 billion. On a per share basis, this quarter’s adjusted earnings of $2.81, marks our 13th consecutive quarter of year-over-year EPS growth. Our results reflect continued progress on our client focused strategy and our commitment to grow shareholder value. Our Canadian SPUs reported double-digit earnings growth reflecting our relationship focused approach to banking and sensible management of our expenses. With a full quarter’s contribution from the former private bank, U.S. commercial banking and wealth management continues to exceed our expectations. On a business as usual basis, the former private bank showed one of their best quarters ever in terms of year-over-year revenue, NIM and loan growth, while credit quality remains strong. Capital markets also delivered consistent and diversified earnings in a relatively quiet trading environment showing the strength of our client-focused franchise. For the full year, adjusted earnings were $4.7 billion compared to $4.1 billion in the prior year. Importantly, we met our stated financial objectives in three key areas. Our adjusted earnings per share growth of 9% exceeded our stated target of being in excess of 5%. Our return on common shareholders’ equity of 18% was above our target of being over 15% and we have a strong capital position with a CET1 ratio of 10.6%, which is well within our target range being between 10.4% and 10.7%. During the year, we increased our quarterly dividend three times providing dividend growth of 7% over 2016 and remained well within our payout range. We also continue to make good progress on our goal to achieve an efficiency ratio of 55% by 2019. We ended the year at 56.5% and that’s a 170 basis point improvement over the same quarter last year. Efficiency continues to be an important focus for the CIBC team. In the year, we made steady progress and making it easier to bank with us and easier for our team to advance our strategic client agenda. These efforts have resulted in 2017 run-rate cost savings of approximately $300 million on target with expectations. The majority of the savings to-date, have been reinvested to accelerate our transformation and positioned CIBC for future growth. As we go forward, we anticipate that the run-rate savings will continue to shift towards the bottom line. 2017 was an active year for our bank. We celebrated CIBC’s 150th year of serving clients strengthening our communities. We also advanced our U.S. growth strategy with the acquisition of the PrivateBank and Geneva Advisors, which are now operating under the CIBC name. With these acquisitions, we now truly have a North American franchise platform for which to grow and leverage the strengthening U.S. economy. Our results reflect strong and stable performance. We are confident in our ability to continue to execute on our strategy and increase shareholder value. And before I conclude this portion of our remarks, I would like to mention that our courageous colleagues and clients impacted by that. I would like to mention our greatest colleagues and clients impacted by the hurricanes in the Caribbean. They have gone through a lot and I want them to know that we are supporting them through this difficult time. And with that, let me turn it over to our CFO, Kevin Glass for a financial review.
Kevin Glass: Thanks, Victor. So, my presentation will refer to the slides that are posted on our website starting with Slide 4 and give you a brief overview of the quarter. CIBC reported net income of $1.2 billion and earnings per share of $2.59 for the fourth quarter. Adjusting for items of note, which are detailed in the appendix to this presentation, our net income was $1.3 billion and EPS was $2.81. We had record revenue of $4.3 billion for the quarter, which is up 13% year-over-year and we delivered strong operating leverage of 3.4% and an efficiency ratio of 56.5%. The balance of my presentation will be focused on adjusted results, which exclude items of note. We have included slides with reported results in the appendix to this presentation. Let me start with the performance of our business segments beginning with the results for Canadian personal and small business banking. Net income for the quarter was $623 million, up 11% from last year. Revenue for the quarter was $2.1 billion, up 4.5% from last year primarily driven by strong volume growth. Net interest margin for the segment was flat sequentially as higher deposit spreads offset the impact of business mix. Our NIM maybe flat or slightly lower in Q1 as a result of promotions in our Simply and e-savings deposit accounts, which should improve over time as the impact of business mix becomes more muted. Non-interest expenses were $1.1 billion, up 1% from prior year. Expense discipline, along with our solid revenue growth combined to generate 8% pre-provision earnings growth and 3.6% operating leverage this quarter. As you can see on Slide 6, the volume growth generated in our Canadian personal and small business segment this past year was strong and balanced across our core businesses. On the money inside of our balance sheet, we have delivered growth above our peers in both personal deposits and mutual funds. While we have trailed the industry in four business deposit growths, we are making investments in our platform that we believe will drive improved performance in 2018. Money out, we led the market with 11.7% real estate secured personal lending growth and have delivered strong and consistent lending growth in small business, where balances are up 11.3% year-over-year. We have also gained market share in the unsecured personal lending and card space. We will also see that we have added Slide 21 in the appendix showing how we are building deeper relationships with our mortgage clients. Christina Kramer can take questions on that. Slide 7 shows the results of our Canadian commercial and wealth segment. Net income for the quarter was $288 million, up 13% from last year reflecting revenue growth from higher deposit and loan volumes and growth in AUA and AUM. Higher revenue in commercial banking was driven largely by a 12% increase in commercial deposit balances and an 8% increase in lending balances. In wealth management, AUA grew 9% as a result of market appreciation and strong net sales of long-term mutual funds. Non-interest expenses were up 8% primarily due to higher performance based and employee-related compensation. Strong top line growth and controlled expenses contributed to positive operating leverage of 1.1%. Slide 8 shows the results of our U.S. commercial and wealth segment, which includes results of the former PrivateBank, which is now operating under the CIBC name as well as Atlantic Trust and the real estate finance business. Earnings for the quarter for the segment, was $119 million compared with $24 million last year, with results benefiting from a full quarter’s contribution from the former PrivateBank. Revenue was $391 million compared with $106 million a year ago reflecting the high-quality U.S. banking and private wealth capabilities we added during the year. Commercial banking revenue represented approximately two-thirds of revenue for the segment. Atlantic Trust and real estate finance had stable performance this quarter. Provision for credit losses was $13 million and overall credit quality remains strong in the segment. AUA was $74 billion as of end of the quarter increasing $30 billion from a year ago, reflecting our added U.S. private wealth capabilities, including Geneva Advisors, which closed during the quarter adding $12 billion to AUA. So on Slide 9, we show the contribution of the former PrivateBank in U.S. dollars. In order to provide a sense of the progress we are making on a business as usual basis. We have compared results this quarter with PrivateBank’s results a year ago using their published financials for the three months ended September 2016. We have treated purchase price adjustments for portfolio of fair value discount accretion and the establishment of collective allowance on new loan originations and renewals as items of note this quarter to more accurately reflect core earnings. Adjusted net income was $65 million compared with $49 million for PrivateBank in the third quarter of 2016. Revenue was $226 million, increasing $42 million or 23% from Q3 ‘16 reflecting the benefit of both portfolio growth and higher NIMs. Adjusted NIM was 3.4%, up 22 basis points compared with Q3 ‘16. Total loans grew $2 billion or 14% from calendar Q3 2016 reflecting the experienced banking team’s continued momentum in driving client development. Growth consisted of $1.7 billion of commercial and industrial loans and a net $300 million in commercial real estate and construction. Total deposits increased $1 billion or 7% from calendar Q3 2016. During the quarter, we generated over $700 million in deposits related to CIBC referrals. Deposit balances also reflect strategic decisions taken to exit certain deposits to provide a limited value with respect to our consolidated liquidity requirements. Non-interest expenses were $119 million, an increase of $27 million or 29%. Most of this increase related to retention awards, but are designed to retain key personnel through the integration process. Retention awards declined over the next 18 months. Turning to capital markets on Slide 10, net income of $222 million was down $40 million from a year ago reflecting lower revenue in global markets and higher expenses partially offset by higher revenue in corporate and investment banking. Revenues this quarter was $622 million, down $7 million or 1% from a year ago reflecting lower trading revenue largely offset by higher revenue from debt underwriting, investment portfolio gains and higher corporate banking revenue. Trading revenue was down as a result of lower client activity due to limited market volatility as well as the impact of legislation affecting our equity derivatives trading business. We continue to drive our business as we focus on building innovative and steady revenue streams and also on providing capital markets products and services to wealth and commercial clients in Canada and the U.S. As a result of the investments we are making to grow and expand our core franchise, non-interest expenses were up 6% from a year ago. Slide 11 reflects the results of the corporate and other segment, where net income for the quarter was $11 million compared with a net loss of $59 million in the prior year. The increase was largely due to improved treasury results as well as higher revenue and lower specific loan losses in CIBC FirstCaribbean. Turning to capital on Slide 12, our CET ratio was 10.6% as of October 31, up 20 basis points from the prior quarter. Solid organic capital generation and share issuance through our dividend reinvestment and employee share based plans were partially offset by the impact of the Basel IV adjustment and closing the Geneva Advisors acquisition. Our leverage ratio was 4% as of October 31, up 10 basis points from Q3. To wrap up and return to Slide 13, which summarizes our full year results. After adjusting for the items of note which are detailed in the appendix to this presentation, our net income was a record $4.7 billion, EPS was $11.11, up 9% from 2016 and well above our goal of 5% average annual growth. We delivered a strong return on equity of over 18% and we finished the year with above CET1 ratio of 10.6%. Heading into 2018, we are well-positioned to continue growing our business and meeting the needs of the evolving regulatory and capital environment. With that, I will turn the call over to Laura.
Laura Dottori-Attanasio: Thanks, Kevin and good morning, everyone. Slide 15 begins with our loan loss performance. On an adjusted basis, loan losses were $212 million relatively in line with last quarter as we experienced better performance in our Canadian retail and U.S. real estate finance portfolios, which was partly offset by higher losses in our Canadian commercial banking business. Adjusted loan losses for the full year were $812 million or 24 basis points. This is down almost 10% from $902 million last year and was largely driven by lower losses within the oil and gas sector. On Slide 16, we are providing an overview of our gross impaired loans. You can see that our impairment ratios remain low and stable. Gross impaired loans were $1.3 billion or 36 basis points as a percentage of gross loans and acceptances, which is down $34 million or 1 basis point. Slide 17 provides a more granular review of our net write-off rates by segment. Our consumer portfolios continue to show stable to decreasing loss rates on a year-over-year basis as the economy remains strong. Our business and government portfolio also showed decreased rates primarily as a result of improvements within the oil and gas sector. As for FCIB the higher write-off rate was largely driven by the consumer portfolio. This was for loans that were previously impaired and fully provided such that the PCL was not affected. For CIBC overall, our ratio was 24 basis points unchanged from last quarter and down on a year-over-year basis. Slide 18 speaks to our residential mortgage and HELOC balances in Canada along with the breakout of the Greater Vancouver and Toronto areas. Our late stage delinquency rates across all of these portfolios continued to remain low and stable with the Vancouver and Toronto areas continuing to perform significantly better than our Canadian average. I would also like to provide an update on our portfolio as it relates to the now final B20 guidelines that take effect January 1, 2018. As you know, the most consequential change is the requirement of the qualifying rate for uninsured mortgages, be the greater the contractual rate plus 200 basis points in the Bank of Canada 5-year benchmark rate. This change may result in a reduction of 10% to 12% of our annual new origination volumes, which is relatively in line with the 10% guidance that we provided last quarter. On Slide 19, we have highlighted our Canadian credit card and unsecured personal lending portfolios. On a year-over-year basis, the late stage delinquency rates of both Canadian cards and unsecured personal lending portfolios were down slightly. Overall, we are very pleased with our credit performance and the quality of our credit portfolios. And with that, I will turn it back to Amy.
Amy South: Thanks, Laura. That concludes our prepared remarks. I will now move over to question and answers.
Operator: Thank you. [Operator Instructions] Our first question is from Gabriel Dechaine with National Bank Financial. Please go ahead.
Gabriel Dechaine: Okay, good morning. It’s my birthday. So, I might ask two. PrivateBancorp, better showing this quarter, just wanted to dig into that trend on the mix ratio last quarter for the month anyway was 60% this quarter 53% and you are talking about lower, I guess retention award expenses over the next 18 months. Can you provide a bit more granularity there and how you end up in the efficiency ratio to shape up for the next year?
Kevin Glass: Gabriel it’s Kevin. Let me take that question. So the efficiency ratio this quarter was 52.7. If you take the retention awards that do declined over the next 18 months and back those out, I would say, it would probably be more in the mid-40s. So, if we look at our performance moving forward we would see it’s being in perhaps mid to high 40s on a run-rate basis, which obviously helps us in terms of our target of getting to 55% by 2019.
Gabriel Dechaine: Okay, great. That’s helpful. And on the origination side, Laura I appreciate the color you provided there, your peers have talked about more of a 5% decline in originations, because of B20. Wondering why yours would be much bigger than that? And then you do provide an originations number every quarter, the only bank above that $12 billion, can you tell me what’s in there, because I assume includes new originations plus refis, because I don’t think it’s new stock in the market necessarily?
Laura Dottori-Attanasio: Happy birthday Gabriel.
Gabriel Dechaine: Thank you.
Laura Dottori-Attanasio: I am not having as great day as you.
Gabriel Dechaine: Sorry I had to ask you a question.
Laura Dottori-Attanasio: So that would be right on your origination. As it relates to why we give guidance, that’s a bit higher than others, I can’t really speak to others. It may well be lower with mathematical calculation, it doesn’t take into account changed consumer behavior as well and that could make a big difference in that. If housing prices came off, for example, someone could apply for less amount of a mortgage or they could find money elsewhere or they could get someone to put money in with them. And so it doesn’t take any of that into account. So, the number could end up being lower. We just ran it off as how our accounts – our new originations would have if you will work had we applied the rule. And with that, maybe I will hand it over to Christina to add.
Christina Kramer: Thank you, Laura. With respect to B20 and the comments that Laura made, as with any regulatory change, we feel that – and we have seen as clients adjust and we saw in the Vancouver market, there was originally a bit of a dip and then we saw activity increase. So, even with B20 changes slowing growth, we expect demand for real estate secured credit to remain quite healthy in 2018 and we expect some kind of adjustments amongst the consumer base. For example, they may adapt to new rules by finding new sources of equity, extending amortization periods or adjusting their purchase criteria. So, we expected to be healthy over the year, but moderating.
Gabriel Dechaine: Do you assume any extension of amortization behavior is that also something you don’t account for I guess?
Christina Kramer: There is some of that potential. It will be all in conversations with our clients. We’ll support them in adjusting to the new regulations.
Gabriel Dechaine: Alright. Maybe…
Laura Dottori-Attanasio: Just to be clear Gabriel in our number though, we didn’t take any of that into account.
Gabriel Dechaine: Okay.
Laura Dottori-Attanasio: That’s why you might see a bigger number coming from us than others.
Gabriel Dechaine: And maybe we can follow-up offline there on that $12 billion what it include. Thank you. That’s it.
Operator: Thank you. Our next question is from Mario Mendonca with TD Securities. Please go ahead.
Mario Mendonca: Good morning. Couple of things that stood out from me. First in the U.S. business, the PCLs ratio running at about 2 basis points right now, clearly that’s a reflection of purchase accounting. Do you talk about what that would look like on a more sustainable run-rate basis?
KevinGlass: Mario, it’s Kevin. That number right now actually has eliminated all of the purchase adjustments. So, the PCL number that you see this quarter is the actual run-rate number on a standalone basis.
Mario Mendonca: So, you would expect to only lose 2 basis points in your U.S. business like the average U.S. bank right now is losing about PCLs ratio something in the neighborhood of 55 basis points. So, what makes the mix of business so different for PB TB?
KevinGlass: I will hand it over to Larry to talk about it, but just given the nature of the business, I think you are going to see some fluctuations and some volatility from a quarter-over-quarter basis. They learned performance has been strong for a while now. I had a couple of accounts this quarter and I think it could fluctuate, but generally speaking, I’d say the credit has been good. So, let me hand it over to Larry.
Larry Richman: Good morning, it’s Larry. The credit portfolio is strong and we feel very good about the quality. We are very selective and disciplined about what we are bringing in that’s new. And it’s probably one of the most benign credit environments that we have seen in a long period of time, but the view is – which is I think consistent with most U.S. banks is pretty good right now.
Mario Mendonca: So, just sort of clear before I move on, like you guys would characterize 2 basis points of loss in the U.S. bank, U.S. commercial bank as normal, just so we are clear on what your timing, this is normal for you guys?
Laura Dottori-Attanasio: It’s Laura. Maybe this is a good place for me to step in, no. And I think as you know when you get into both commercial and corporate lending, your loss rates can be quite lumpy depending upon how losses come through the system and we have been in a particularly good period, not just in the U.S., but in Canada. And so I would say that these are really good numbers and I would expect them to go back up somewhat as we go into the next year, maybe not as high as the numbers you have given. That would be if you will I would say traditionally when you have loan losses in a commercial bank, you would expect losses around that rate, but in the last few years, we have seen much lower loss rates. So you are right with what you mentioned they won’t be as low as 2 basis points on a go forward basis that you can expect them to go up. I hope that helps to clarify.
Mario Mendonca: Yes. What I was asking for originally is what’s normal for this business. I guess that’s the part I am still not sure on, but I am happy to move on to something else?
Laura Dottori-Attanasio: Well, I think what you have – what you stated is what would be normal for most businesses. We have done better, if you will, than average, we would expect to do a little bit better than that on a go forward basis so not as high.
Mario Mendonca: Okay. Victor on your opening comments, you referred to 13 consecutive quarters of year-over-year EPS growth, your guidance is for something like 5% plus going forward. So, the reason why 2018 couldn’t be sort of within that number of that 5% or so that you are referring to or is 2018 just a special year because of the higher share count on the dilution associated with PB TB?
Victor Dodig: Mario, there is nothing special about 2018 other than us always taking a more conservative approach as we go into a year. We try and stay close to our clients. We try and manage our expenses sensibly and we hope that there is economic tailwinds to benefit us. And if the rate environment normalizes as predicted by central banks and analysts and if we see that continued business performance that we are seeing we could kind of get to that range.
Mario Mendonca: Okay, that’s helpful. Thank you.
Operator: Thank you. Our next question is from Meny Grauman with Cormark Securities. Please go ahead.
Meny Grauman: Hi, good morning. A question on the on the U.S. margin when you break it out for PrivateBank looking on a year-over-year basis 340 from 318 in Q3 ‘16. I am wondering, I mean, rates have been going up, but is there anything else that’s driving the margin there. It seems like it’s more than just rates having an impact?
Victor Dodig: So, what you are going to remember is that’s a year-over-year comparison Meny and they have been 3 Fed rate hikes in that period. So, what that really reflects is the rate hikes.
Meny Grauman: Okay. And…
Larry Richman: It’s Larry. Let me just add to that. And I think 97% of the loans within the old PrivateBank portfolio are variable priced and 71% indexed to 1 month LIBOR. So, clearly as rates rise, it has a impact. Deposit costs have also increased, but I will call it have lagged and have not been rising at this same rate. And so expectation, this NIM will benefit if rates rise.
Meny Grauman: So would you say that you would expect to see kind of a linear trend here like if we get a December rate hike and then probably 2 more plus in 2010 would see a similar kind of step up?
Larry Richman: I guess I have been at this long enough to know that nothing is linear. And I think that the approaches we benefit more disproportionate because of the variable nature of our rates to a rising rate environment. The question of deposit costs and other competitive features clearly impacted. So, I don’t think I could say linear, but I could say we benefit.
Meny Grauman: Thank you.
Operator: Thank you. Our next question is from John Aiken from Barclays. Please go ahead.
John Aiken: Good morning. Kevin in your commentary, when you were talking about PrivateBank in the deposit growth, you had mentioned that the growth had been negatively impacted by some of the strategic decisions that you made. Can you let us know what that number would have been X that decision?
Kevin Glass: I would say John that we exited about $0.5 billion of deposits. So you can adjust on that to net basis.
John Aiken: Thanks. And I guess my follow on from that it’s for Larry we did see strong growth granted from – with a bit of an assist from CIBC. Do you think that most of this trajectory can be continued and particularly in line having lending growth in deposit growth, keep pace with each other?
Larry Richman: Yes. It’s probably a good time for me to take a moment. The answer is I feel really good about the opportunities. As Victor said, it is one of the best quarters we have ever had and the pipeline is strong and we have really good client momentum. So, I feel good about the consistency. The teams are experienced. We are seeing good business opportunities and I am very impressed. And with the cross-border and the business booked that we have received from deposits from our private wealth business. So I guess if I have to characterize it has probably been higher than my high expectations coming in. So, it’s a great start. I am optimistic about the future and I feel good about the continuance of this business momentum.
John Aiken: Great. Thanks for the color, Larry. I’ll re-queue.
Operator: Thank you. Our next question is from Sumit Malhotra with Scotia Capital. Please go ahead.
Sumit Malhotra: Thank you. Good morning. First off, for Kevin and thinking about the tax rate in your U.S. segment, for the combined operations in the U.S. the tax rate this quarter at about 25%. I had been of the view that bringing PrivateBank Corp aboard and given that it was a full mid 30s tax rate payer in the U.S. would have resulted in taxes in this segment and maybe for the all bank level as well moving higher. That wasn’t really the case. I mean your U.S. level is around 25, so it didn’t seem to change too much from where you were running previous to that. Why is that? Was there some tax optimization that the bank was able to do or maybe I should explain, because I would have thought that private would have pushed the tax rate higher?
Kevin Glass: Sumit, I think that’s right. A lot of this depends on our corporate structure and we do have – obviously, we do focus on tax optimization. You did big acquisition like this it does offer you some opportunities. And what I would say is that rate is sort of consistent to the overall bank rate – bank tax rate and it’s also in line with those of our peer group. So, you just structure accordingly. So, there will be that optimization that helped us.
Sumit Malhotra: So, yes, the fact that as a standalone entity it’s tax rate was materially higher you have been able to make some adjustments on year end even prior to whatever happens with tax reform in the U.S. So that would be an additional benefit to the rate that you have now?
Kevin Glass: Yes. I mean, I think in terms of tax reform, frankly it’s too early to speculate. There are so many moving pieces for sure. The rates dropping would help us, but there are a lot of issues in terms of NIM, it’s on interest deductibility, a lot of moving pieces. So, I think it’s in the fullness of time, it should be beneficial, but it’s too early to speculate on what that’s going to give us.
Sumit Malhotra: But further to wrap that up part of you are leaving further changes aside, the tax rate that you had in the U.S. segment this quarter you feel is a representative run-rate level, nothing overly good this quarter?
Kevin Glass: No, I think it’s a representative number.
Sumit Malhotra: Okay. And then secondly, I will wrap up stay with you, I thought your operating leverage on an all-bank basis was really strong this quarter at least the way I look at it more than 3%. And one of the areas that stood out to me was just in and around compensation that the total human resources line, I think you folks fell in-play comp and benefits line. I know there are going to be year-end true-ups or true-downs depending on the situation, but that’s another one where you had a big uptick in revenue with private coming on board, your all bank compensation costs were actually lower. Is this again a reflection of business mix or was there some specific changes that maybe resulted in the overall efficiency looking particularly good as far as comp is concerned this quarter?
Kevin Glass: No, I think it’s just more of a function of business mix at the end of the year as we finalized results, compensation would be adjusted appropriately. We have particularly strong results in personal and small business area, which is on a percentage basis is somewhat lower compensation, but there is nothing special that to take note of Sumit, it’s more just end of the year, everything gets aligned appropriately.
Sumit Malhotra: Okay. I mean, well I am sure we will talk more about this in the Investor Day, your 55% next target in 2019, I mean, it certainly seemed like you made good progress on that front this quarter, I know there is puts and takes in any given quarter, but that’s certainly one that there seemed to be good progress on this time around. So you are saying those some of those year end adjustments played a role?
Kevin Glass: Yes. I mean I think in terms of getting to 55%, you do need to take an annual, there is volatility in any given quarter.
Sumit Malhotra: Sure.
Kevin Glass: And so I think if you look at our performance this year, we are confident in terms of getting to that 55% run-rate in 2019 and you are right we will talk more about it at Investor Day, but on balance I think we are going in the right direction.
Sumit Malhotra: Thank you for your time.
Kevin Glass: Thanks.
Operator: Thank you. Our next question is from Steve Theriault with Eight Capital. Please go ahead.
Steve Theriault: Thanks very much. I have a question for Harry, but just Kevin, if I could just follow-up on Gabriel’s question earlier, just to be clear on the U.S. efficiency ratio, are you saying then, should we understand at the mid-40s level, that was going to take 18 months or so to get there as retention runs down or does that happen quicker. And I guess our retention costs frontloaded or do they unwind kind of smoothly?
Kevin Glass: They unwind relatively smoothly. So, we are at 52ish right now. You will see a steady decline to the mid-40s over the next 18 months will be a way to look at it.
Steve Theriault: Okay, that’s very helpful. Thanks. And so for Harry, so I am finding Q4 trading a bit hard to gauge since it was a weak activity level for everyone, but I think there is still some impact that we are seeing in Q4 from the total return swap or not. So, is it – so is the TRS runoff now done and when we think of next year, I guess what’s more indicative of what you think of normalizes is the 217 from this quarter or is the closer to $300 million from last quarter, just with all the moving parts, it’s hard to have too good of a gauge?
Harry Culham: Yes, I guess good morning, Steve. It’s Harry here. So you saw the results for the year up nicely from 16th, we are pleased with that and we are pleased with the mitigating effects of the TRS runoff. There are some lingering effects in the 2018, but we still continue to see opportunities to redeploy the assets and focus on growth. The run-rate this quarter was a good base to grow earnings from my perspective and so you kind of hit the range there what we have seen for the last while.
Steve Theriault: Okay. That’s great. Thanks a lot.
Operator: Thank you. Our next question is from Darko Mihelic with RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi, thank you. My question is with respect to the Canadian business and in particular I wanted to maybe look at Slide 21 which you have provided here, which helps us understand the headcount in the mortgage advisor productivity and the changes there with respect to looking at the first line mortgage portfolio versus where it sits today and the less than 15% single product relationship. Those are interesting statistics. And I guess where I am going with this is as you increased your advisors and you increased your mortgage originations it seems as though you also increased or deepened “the relationship” with clients. What happens from here going forward for your business is there much more you can mind in other words there maybe only 15% single product relationships, but maybe there is a whole whack of just two and it goes to 5%. Can you give us some concept or some sort of measurement of what we can think of here because when I look at the slide, I see that mortgage productivity should more or less be flat going forward, you have slightly fewer advisors, so we should see a deceleration in mortgage growth, but how do you – is it possible for you to backfill revenues with more cross-sell? And lastly, every time I read stuff about your business in Canada and even now when I read through the annual report real quickly or at least part of it. I noticed that you also continue to mention that there is actually less revenue from first line. A lot in that question, I guess ultimately, where I am going with it is if we see mortgage deceleration, how much can fee income replace some of that on slower revenue?
Christina Kramer: So, thank you, Darko. It’s Christina speaking. So, why don’t we get back up on our overall results and then I will speak to your specific questions around mortgages. We delivered very strong results this quarter and it wraps up with strong year for our business. So, financially we achieved all of our key targets, revenue growth, operating leverage, quality of loan growth and strong earnings growth. And behind these financial results, we also delivered strong and diversified business growth as Kevin mentioned in the slide we showed up. We picked up market share broadly across almost all products both in deposits and investing as well as on lending. So, while the growth of our mortgage portfolio was the key contributor, it isn’t the only factor to our strong results. Specifically in mortgage growth, in recent months, our mortgage growth has moderated as industry growth has slowed. Our growth is also converging towards peer levels as we stated it would with us having reached and as you can see on the slide, our steady states on MA team, our mortgage advisor team both in terms of size and productivity. But as we have seen the mortgage market starts to moderate, we have also seen a pickup in deposits and investments and other areas of our business. So overall, it gives us good year-over-year market share growth across the business, across client segments and across the overall client base. So what your question is really around guidance, around revenue growth in the upcoming year, given all that, the strong and diversified financial results and assuming supporting market conditions continue into hold and also assuming some slowing in the housing market, we are well-positioned to sustain our performance in 2018. So in terms of revenue, we expect to deliver revenue growth in line with what we achieved for fiscal ‘17.
Darko Mihelic: Thank you. And is that assuming some sort of NIM expansion or flat NIMs?
Christina Kramer: In terms of NIMs as Kevin mentioned, NIMs will remain relatively steady in the beginning of the year in Q1. We will see a slight decline as result of deposit promotions, but will teady over the balance of the year.
Darko Mihelic: Okay. So we should be seeing then some sort of improvement in fee income, will that be a fair statement?
Christina Kramer: You will see an improvement in fee income, yes.
Darko Mihelic: Okay. Thank you very much.
Operator: Thank you. Our next question is from Nick Stogdill with Credit Suisse. Please go ahead.
Nick Stogdill: Hi, good morning. For Christina sticking with Canadian personal, very strong cost control this quarter, it was growth of just 1% versus 4% throughout the first 9 months of the year. I know Kevin called it that it can be kind of lumpy, but if you could just give us some color on the drivers and sustainability of lower growth in 2018 and the mortgage advisor headcount was down this year. Does that have it factored all the lower expense growth in Q4 as your mortgages moderate?
Christina Kramer: Yes. So, specifically on the mortgage advisor note isn’t a big contributor to expense growth moderation, but let me talk about the quarter we had 1% growth over the quarter, some of that had to do with timing of some spends and pacing, but also with focus discipline on expense management. We are coming off a period of several years of strong investment spend and we expect expense levels to moderate over the medium term as we leverage the investments we have already made. So, we expect our expense growth next year to be less than what it was in fiscal ‘17 and around the 2% to 3% range. And then if that possibly leads you to operating leverage with individual quarters as Kevin mentioned exhibiting some volatility, we do expect to deliver positive operating leverage in ‘18 in line with what we achieved in fiscal ‘17.
Nick Stogdill: Okay, thank you. And just a second question on the mortgage book either for maybe you or Laura, if we look at the amortizations on the book you talked, but then maybe extending a bit and we have seen that trend up in terms of the 30 to 35 year amortization bucket has moved from 1% at the start of the year to 5% where we are today. So, we have seen I guess more customers moving to a longer amortization. And does that simply reflect more customers looking to take longer amortizations out of origination and I guess make monthly payments more affordable or is it higher rates what’s been driving that so far this year?
Christina Kramer: We work with our clients to ensure that they are in the right product and amortize over the right term period for them. There is no major shifting in that other than I think we are seeing a little bit of decline over time.
Nick Stogdill: So with B20 coming, you think it will go up a little bit more or proportion in that bucket?
Christina Kramer: I think Larry is going to take that one.
LarryRichman: Yes. I suspect that you would likely see that again if you can extend as you know the amortization, it’s equivalent to dropping an interest rate. And so if you are having a hard time qualifying with the higher interest rate if you extend the amortization it could help you qualify. So I would expect we would see some of that migration in the industry.
Nick Stogdill: Okay, thank you.
Operator: Thank you. Our next question is from Sohrab Movahedi with BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Laura, just quickly you had provided some commentary about a year or so go around stress losses, specifically in Canadian banking, can you give us some updated metrics?
Laura Dottori-Attanasio: Sohrab, they have remained pretty much the same if you will. We talk about stress losses. There hasn’t been a material difference from what I would have said last year to today. There would be some change of course just given our asset mix would have changed over the year with the growth and so numbers would have moved somewhat, but not nothing material, if that answers the question for you.
Sohrab Movahedi: So more or less, I mean, the favorable credit environment kind of continuing and the notional growth if you will in the balance is broadly speaking in Canada has not had any significant bearing on your assessment of tail risk if you will for the bank?
Laura Dottori-Attanasio: No, it has, I mean, the same – if you will the same tail risk that we had last year. I think we continue to have this year as we all live the economy done quite well in the last year. It’s still doing well. And so nothing has really changed from a stress analysis perspective.
Sohrab Movahedi: Okay. And just a quick clarification maybe Kevin, I mean, I know it looks like you released about a little bit from the collectives, maybe to the tune of about $0.03 a share, which you adjusted for, but in the past when you have done these things, you haven’t adjusted for, is there a change in philosophy here?
Kevin Glass: Actually in the past – it depends on the magnitude. So, if you remember when we had a big charge during the oil and gas period, we did actually adjust for it. The smaller amounts, we have not adjusted for, but this was up around $20 million which is really what our cutoff is so Sohrab. So, we thought it was appropriate to adjust for it.
Sohrab Movahedi: Thank you.
Operator: Thank you. Our next question is from Scott Chan with Canaccord Genuity. Please go ahead.
Scott Chan: Hi, good morning. Questions on PrivateBank, Larry, I just wanted to get into the loan growth number, obviously very strong on the first full quarter at 14% is double-digit growth on that platform achievable in 2018?
Larry Richman: We felt really good about the quarter and have felt really good about the opportunities. We are continuing to feel really good about the opportunities. We have built the bank over the last 10 years and have a very consistent team, active calling strong pipeline and feel good that we can continue on a strong pace. That pace has been 10%, 12%, 14% over the last 3, 4, 5 years at least. And so we feel really good and where we feel good is not only the opportunities that we are seeing in the U.S. and the continuation of these strong team efforts, but now that we are part of a strong bank, the opportunities we are seeing now are even greater than they were before.
Scott Chan: And if I look at your U.S. peers, commercial growth U.S. commercial regional growth has slowed down, is it safe to say that the commercial real estate platform is driving the growth similarly it will happen in 2016 for PrivateBank?
Larry Richman: Yes, I think in Kevin’s comments you referenced it. The answer is no, what we have really seen has been a strong growth in C&I actually, as a disproportionate to the growth in CRE. And so we like the diversification. We certainly like the mix. CRE is growing, but the majority of the growth is coming from our C&I book and it’s coming from not partially growth in the market, but it’s really coming from our growth in market share. And that’s a continuation of active calling by our experienced team that’s been doing it, not just since the deal, but since over the last 10 years.
Scott Chan: Okay, thank you.
Operator: Thank you. Our next question is from Doug Young with Desjardins Capital. Please go ahead.
Doug Young: Good morning. Just want to continue along that line on PrivateBancorp. Kevin, you mentioned I think the private deposits that came over and sorry I missed the number, if you can just let me know what that is, but more importantly, Larry just about the opportunities from being part of CIBC, can you talk a bit about what you have done so far to integrate maybe with the capital markets or the cross-border and some of the opportunities that you have seen so far and if you can talk a little bit about what you see down the road over the next 2 years in terms of opportunities to grow in deposits and loans?
Kevin Glass: So, Doug let me – just it’s about $700 million that came of and that was evenly split really between commercial clients here in Canada, our referring business, corporate clients in the state’s referring business and the Atlantic Trust clients referring business, so really good balanced results in terms of driving that $700 million.
LarryRichman: It’s Larry. Let me continue and I can give you a good sense of it and I am very optimistic about not only what we have achieved to-date, but what the opportunities are. The teams at cross-border are working very well together and it’s being done in a very organized way with cross-border teams on both sides, but it’s also a very strategic identification of where we can fulfill client needs. And what the growth this quarter reflects is the number of different things both Canadian clients depositing significant dollars in the U.S. at the bank, some of which have deep – will have established not only deposits, but deep treasury management capabilities. It also includes U.S. corporate clients that now have a deposit capability within the U.S. because of the bank that we are generating deposits. It also includes wealth management clients that now have a private banking capability that allows us to do it. And interestingly one of the things that I am also very proud of is the number of our U.S. clients are starting to use the Canadian bank opportunities to both finance and bank on their Canadian subsidiaries and acquisitions that they are doing there. So, we are really seeing it in all fronts. Execution has been good. Teamwork has been terrific. And again as you know, I have had experience with this in the past. The active work relationship is creating some really nice momentum. So, I feel really good about that. And then the other part of it that’s very exciting is we now have a credit rating and by having a credit rating in the U.S. that similarly is creating a very nice opportunity for us to seek business that we couldn’t have sought before we were part of the team.
Doug Young: So, Larry is there anyway to quantify this, I mean in terms of so far how many clients have actually done business cross-border or quantified in terms of deposit growth or loan growth just trying to think further into all this sounds great, but from a quantification perspective, is there anything we can kind of think about?
LarryRichman: It develops over time. And I am not in a position to want to quantify it now, we will talk more about this at Investor Day, but I guess I can tell you that where the opportunities lie is the number of the significant Canadian clients now have a means to bank effectively and wealth within for their U.S. operation, our U.S. companies now have an opportunity to bank in Canada for their opportunities. And we have a significant opportunity as well. We have number of very significant wealth clients that couldn’t bank with the bank, because we didn’t have a commercial bank, we didn’t have a banking platform, which we now do. And so again, it’s all based upon client needs. And it’s identifying them calling, but the teams are working really well together. So, I see really good momentum. And for the first period of time that we have been together to see this kind of activity both in terms of large accounts, but also in terms of numbers of accounts and prospects, it’s really good.
Doug Young: Okay, I will leave there. Thank you.
LarryRichman: Thank you.
Operator: Thank you. Our next question is from Mario Mendonca with TD Securities. Please go ahead.
Mario Mendonca: Good morning. Just a quick follow-up. Is there going to be – is there a way you might suggest we track the success in moving essentially like Darko’s question, the success in moving this mortgage growth into other products. Is there some way perhaps Kevin that you will help us think through this going forward?
Kevin Glass: So, I think – and we have spoken about this and perhaps we will spend a bit more time at Investor Day. What we could do is just use product use counts. One of the challenges there as we have discussed is there is no standardized way to do that, but we have given some photos to exactly how we can do that also just potentially working on percentage growth in terms of the depth of client relationships. So, Mario, we are thinking what the best to do that and perhaps we will cover that in a bit more depth at Investor Day.
Mario Mendonca: Okay. And then just one final question on corporate and others is Page 11 of your presentation, the line there, the swing from minus 78 to positive 33, would it be fair to call that essentially entirely related to the higher treasury revenue?
Kevin Glass: Sorry that is Slide 11. The biggest driver there frankly is the TAB adjustment. So, if you remember in the past what we used to do you is you have the TAB grows up in capital markets and in the TAB would go through, so it’s a combination of [indiscernible] and improve treasury results.
Mario Mendonca: So maybe could you help us think through how important was the treasury activity in the quarter?
Kevin Glass: So, I would say, yes, I mean it was a big deal in the quarter on a year-over-year basis. So, it would have been a 40 odd, $40 million, $50 million on a year-over-year basis. And that represents better liquidity costs. We did have a couple of benefits this year in terms of some of our hedge rebalancing. That line is also a bit volatile. So, that would have been the impact of treasury.
Mario Mendonca: Okay, thanks.
Operator: Thank you. This is all the time that we have for questions. I would now like to turning the meeting back over to Victor.
Victor Dodig: Thank you, operator. It seemed like everybody was celebrating their birthday today since you last at least two questions. So, thank you for that almost ran out of cake. Anyway, CIBC is entering fiscal 2016 with a very strong capital position, set us strategic initiatives that we believe will deliver organic growth and a platform in the U.S. to better serve our clients both our Canadian clients banking in the U.S. and importantly the clients that were banking today and would like to bank in the United States. We are transforming CIBC into a relationship focused bank that’s built for an increasingly digital world. We understand the impact of technology, but we placed great emphasis on the benefit of long-term client relationships and that’s what you are seeing in terms of the growth of our business high-quality and deeper relationships. And our goal is to deliver diversified growth on both sides of the balance sheet by becoming that primary financial institution for more of our clients and attracting more new clients to CIBC. As you know, we will be providing a detailed update on core elements of our strategy at our Investor Day on December 13. We are looking forward to sharing our plans with you and taking all your questions. For those who can’t attend in person, the event is going to be available via webcast and the details are outlined in the news release that went out today and posted on cibc.com. So to wrap up, I would like to thank our shareholders and our investors and our analysts for their continued support, trust and interest in our bank. On behalf of CIBC’s executive committee and our board, I would especially like to thank CIBC’s 45,000 team members for their ongoing dedication to serving our 11 million clients. I am very proud of the work our team is doing to put our clients at the center of all that we do to deliver value to our shareholders and to get back to our communities. Thank you everyone for being on the call and best wishes for the holiday season.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.